Operator: Good morning and welcome to Air Canada’s Fourth Quarter and Full Year 2023 Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Valerie Durand, Head of Investor Relations and Corporate Sustainability at Air Canada. Thank you. Please go ahead.
Valerie Durand: Thank you, Julienne. Hello, [Foreign Language]. Welcome and thank you for attending our fourth quarter and year-end call of 2023. Joining us this morning are Michael Rousseau, our President and CEO; Mark Galardo, our Executive Vice President of Revenue and Network Planning; and John Di Bert, our Executive Vice President and CFO. Other executive team members are with us too this morning. Mike will begin this call with a brief overview of the quarter, followed by Mark with comments on our revenue, network updates and demand trends. John will cover our financial performance and guidance before turning it back to Mike. We will take questions from equity analysts after this call. Today’s comments and discussion may contain forward-looking information about Air Canada’s outlook, objectives and strategies that are based on assumptions and subject to risks and uncertainties. Our actual results could differ materially from any stated expectations. Please refer to our forward-looking statements in Air Canada’s fourth quarter and full year news release available on aircanada.com and on SEDAR+. And now I’d like to turn the call over to Mike.
A - Michael Rousseau: Great. Thank you, Valerie, and good morning to everyone. Thank you for attending this morning’s conference call to discuss our fourth quarter and full year ‘23 results, which capped a very successful year for Air Canada. [Foreign Language] We produced strong results in the fourth quarter of ‘23 with operating revenue of approximately $5.2 billion, up 11% from the same period in 2022. Adjusted EBITDA of $521 million was up almost 34% from the previous fourth quarter. We announced record full year operating revenue of $21.8 billion, up 32% from 2022. Operating income ‘23 was nearly $2.3 billion. That’s a $2.5 billion improvement from the previous year. Our adjusted EBITDA was nearly $4 billion, more than twice that of the full year ‘22 and is the top end of our guidance that we provided as we predicted last quarter. Further, our adjusted EBITDA margin of 18.2% was once again among the highest in North America. Our performance on profitability and revenue was complemented by effective cost control that kept our adjusted CASM in range. We also significantly deleveraged the airline. We remain committed and acted on our promises, operating amidst headwinds in our global industry and in the economic and geopolitical environment. We also delivered on key strategic priorities and took important steps to maintain our consistent performance, reaffirming our dedication to our plan. We are strategically adding to our key hubs, enhancing our level of customer service and improving our operational reliability. In 2023, we saw meaningful improvement year-over-year in key operational metrics despite many uncontrollable issues we had to deal with. Among other strength metrics, our flight completion factor and baggage handling success rate both improved in 2022. Our on-time arrivals rose by nearly 10 percentage points of 2022 and were above 2019 levels for the fourth quarter. We’ve seen increased customer satisfaction across the entire system with the most significant areas of improvement being the handling of delays, cancellations and missed connections. These have been a key area of focus for the organization to ensure that our customers get where they need to go. I thank everyone for their hard work and dedication to service excellence throughout the year and for caring for our customers while safely and comfortably transporting them to their destinations. I also thank our customers who choose to fly with Air Canada in 2023. We know that our customers, like investors and other stakeholders, highly value consistency and reliability, which are integral to our service excellence. These are all things we’re fully committed to keep delivering and improving upon ‘24 and beyond. Thank you, [Foreign Language]. Mark, over to you.
A - Mark Galardo: Thanks, Mike, and good morning, everyone. [Foreign Language] My sincerest thanks and congratulations to all of our employees for the incredible year that we had. I’ll start with a quick overview of the fourth quarter. Operating revenues reached $5.2 billion, an 11% increase in the same quarter last year. This increase was driven by 12% higher passenger revenues, mainly stemming from higher traffic and a higher yield on more capacity. International markets, notably Atlantic and Pacific, performed very well in the quarter and were the main contributors to the year-over-year increase. We had parity and revenue performance in both premium and economy cabins in the fourth quarter above ‘22 levels, and this speaks to the diversification of our cabin configuration strategy. Turning to the full year. We’re very pleased with the operating revenue we generated in 2023. We achieved record operating revenues of $21.8 billion, which is 32% higher year-over-year. We saw a 36% growth in passenger revenues, primarily stemming from a strong demand for travel in all markets and a better operating environment with very strong passenger load factor performance of 86.7% for the year and maintained strong yields 6% above 2022, even with a 4% increase in our average stage line. We built scale at our hubs. We’ve restored services and leverage our partnerships to drive a robust and growing internationally focused airline. We operated on average 1,025 daily flights in 2023 against 945 in 2022. We flew to 188 direct destinations on 6 continents and carried 24% of our customers. The performance in 2023 was propelled by our strong effective network strategy, which delivered solid results on our international network. Passenger revenues from international services increased 50% from 2022 driven by strong demand. To put this in perspective, international accounts for about 65% of the increase in total passenger revenues. This highlights the strength of our network and demonstrates how well we’re positioned as Canada’s leading global airline. North America also performed very well with significant increases in passenger revenues, traffic and capacity. Yields also increased despite the competitive landscape. It’s worth calling out the domestic yield improvement of 3% from 2022 as we leverage both the breadth and depth of our network. Further, the 37% increase in U.S. transborder passenger revenues was supported by new, restored and increased service and improved connection opportunities for international network. This ultimately supports our Sixth Freedom strategy, in which we saw continued strength in 2023. I’d also like to call out our strong partnership with United Airlines. We witnessed stronger-than-anticipated results of our joint business arrangement on transborder with added multiple new routes and enhanced services to many Canadian cities. 2023 was also a very good year for sun and leisure destinations with ground package revenues at Air Canada Vacations driving the 43% increase in other revenues. Further in 2023, revenues from our premium cabins performed well and increased 37% year-over-year. This strength was noted across all markets for both leisure and business customers. Moving to Cargo. 2023 revenues declined 27% primarily on lower volume and yield in all markets. Despite that 2023 had challenging market conditions, we’ve taken all the necessary measures to position ourselves to take advantage of the recovery. This includes strategic resting our freighter plan so that we can keep focusing on improving overall results for the long term and on maximizing cargo network value with our entire fleet. As we eventually receive the 787-10 with larger cargo capacity, taking advantage of global cargo flows to our hubs will become an important lever to further diversifying revenue streams. We continue to take important market share gains in the global market. Turning to 2024. We expect to increase capacity between 6% and 8% year-to-year. This is reasonable for us as we continue to see industry supply chain pressures and other constraining factors. We also have one aircraft initially planned in ‘24 that is moving into ‘25. We have secured interim capacity to achieve this level of capacity this year. For Q1, we expect to operate 10% more capacity compared to the same quarter last year. We anticipate market conditions to remain stable, although we do see some pressure on yields in leisure and sun destinations given the increased capacity in those markets. It is worth noting, however, that Q1 of the previous year was the high watermark for some performance and are therefore normal to expect some yield normalization. Our diversified network will allow us to mitigate most of the pressure. Beyond Q1, we’re encouraged with what we see in the forward bookings. We see strong demand for international services, and our Sixth Freedom bookings are already ahead of where we were last year, which as we recall, is about a year. Demand for Southern Europe is outpacing ‘23 and for Q2 and Q3, responded with additional capacity to Greece, Italy, Spain. We expect the Pacific to continue to outperform as we will look to capture this opportunity. Not only are we launching service to Singapore in April, we’re also starting a new seasonal search from Toronto, Osaka, Kansai airport starting this July. We’re very encouraged by the overall performance in our Japan operations. We do anticipate a normalized environment in the domestic market given the competitive landscape. However, we are well positioned to compete in the overall diversification of our network gives us multiple options to redeploy capacity to other geographies. We continue to have solid international growth prospects. The combination of growing demand for international travel to and from Canada, our Sixth Freedom potential and the enhanced scale of our hubs gives us various international expansion opportunities. We look to make the most of this in the years ahead. Thank you. [Foreign Language] Over to you, John.
John Di Bert: [Foreign Language] Good morning. We provided an overview of our overall financial performance, and Mark discussed our strong passenger revenues. I’ll begin with our fourth quarter operating expenses, which grew 8% to $5.1 billion and track to revenue and capacity growth of 11% and 9%, respectively. Let me highlight a couple of items that did not naturally track the overall increased activity. First, we saw a 21% increase in salaries, wages and benefits. The increase was driven by a 10% capacity-related FTE growth versus Q4 2022, wage inflation and company-wide profit-sharing accruals, recognizing the strong performance delivered by our employees. Conversely, fuel expenses were 5% lower than Q4 2022 on 12% jet fuel price declines, partially offset by an increase in fuel liters consumed related to the ASM growth in the quarter. Q4 adjusted EBITDA was $521 million, $132 million or 34% higher year-over-year, producing a 10.1% adjusted EBITDA margin. Q4 operating income was $79 million, an important reversal from our operating loss of $28 million in Q4 last year. Turning to the full year. We reported $19.6 billion in operating expenses, 17% higher than 2022 on a revenue increase of almost $5.3 billion or 32% and a growth of about 25% in operated capacities. Salaries, wages and benefits increased 21%, reflecting staff additions as we supported the surge in ASF. This also includes accruals for profit sharing and other wage-related items. For full year 2023, fuel expense remained stable with a 1% year-over-year increase, reflecting of 14% offset by higher in fuel assumption capacity growth. Overall, our 2023 [indiscernible] of only 70 basis points in 2023. Behind – beyond the higher labor expense and generally inflationary pressures, the increase also reflects the impact of higher load factors experienced in 2023. The cost increases were mitigated by the early efficiency benefits of improved productivity. We do expect to realize additional productivity gains over the next 2 to 3 years. Let’s now turn to free cash flow and liquidity. Q4 and full year free cash flows were better than 2022 comparative periods, reaching almost $670 million in Q4 and nearly $2.8 billion in 2023 full year. Including approximately $800 million in free cash flow generated in 2022, we have now surpassed – or now withdrawn 3-year cumulative target of $2.5 billion even before considering 2024 performance. We have put our solid cash generation to reduce by aggressively in pre-paying expensive debt. In 2022, we retired $473 million of our $748 million convertible senior notes. In 2023, we prepaid approximately $1.3 billion in A220 and Boeing 787-related aircraft financing. Including the effects of these accelerated debt payments, we have built total liquidity of $10.3 billion and increased our unencumbered asset pool, $6.6 billion at the end of 2023, excluding the value of Aeroplan. Our leverage ratio is now solidly back to pre-pandemic levels, in ending 2023 at 1.1x EBITDA. This is a significant improvement from our leverage ratio of 5.1 at December 31, 2022, and it achieves 1 year early our now withdrawn post-pandemic targets level of sub 1.5x. With our strong balance sheet and liquidity levels, we are well positioned to execute on our scheduled fleet plan additions. This includes 27 A220s delivered between 2024 and 2027, 2 of which are expected this year; 5 leased new Boeing 737 MAX 8 for entry into service in 2025; and 30 A321 XLR aircraft scheduled for delivery between 2025 and 2029. Last month, we took delivery of one more Boeing 787-9 with a 32nd and final -9 to be delivered later this year. Finally, in 2023, we announced an order for 18 787-10s that are scheduled to be delivered between 2025 and 2027. The order includes options for up to 12 additional 787-10s. As you can appreciate, these commitments and orders must be placed years in advance. We plan on acquiring these new aircraft through measured mix of leases and purchases. For additional details, I will refer you to our MD&A, which includes our total committed and projected capital expenditures as well as detailed on our fleet plan. These modern efficient aircraft will replace some older aircraft and help increase our capacity. Each of these additions have been selected to address strategic opportunities. They will also present enhancements in fleet economics, advance our greenhouse gas emissions reductions goals and most certainly, it will delight our customers. Okay. Now let’s look ahead. This morning, we issued guidance for 2024, replacing all our prior 2024 targets. Mark highlighted our capacity growth expectations of 6% to 8%. Our adjusted CASM is expected to increase between 2.5% and 4.5% over 2023. This assumes normalizing general inflation across our cost base and we believe will be offset by continuing productivity gains across the airline. The productivity gains will gradually occur on many levels. They include newer colleagues will become more experienced, the renewal of our fleet, and it also includes our maturing technology improvements and our continually modernized processes. The entire travel ecosystem as it works through the final stages of recovery will also play an important role. Notwithstanding these balanced cost conditions, we will also see specific net headwinds to adjusted CASM for the following. First, note that a new agreement with pilots will bring a change in wages and other cost-related items. We have factored our best estimates into our guidance with a view of the Canadian pilot market and our desire to be a leading employer of choice for Canadian pilots. Second, the potential impacts from changes to the regulatory environment for customer disruptions. The timing and eventual incremental costs of new rules will be continually assessed as this file evolves. And finally, from the expected increases in airport fees and infrastructure costs as we enter into new agreements. We also are closely watching Ameron supply chain pressures and their potential impact on our maintenance cost and capacity. We believe that we’ve sized these expected headwinds appropriately, and we have factored them into our guidance with the best information reasonably available. We continue to be laser focused on our margins and on finding opportunities for cost savings. Getting more specific with financial guidance. We are setting 2024 adjusted EBITDA expectations in the range of $3.7 billion to $4.2 billion. Our earnings guide assumes moderate GDP growth, an average of CAD1.33 to U.S. dollar exchange rate, average 2024 jet fuel costs of approximately CAD1 per liter. Any changes in these underlying assumptions can have a material impact on our guidance. Turning to capital allocation. Our capital allocation strategy will continue to prioritize additional gross debt reduction where it’s economically beneficial. We will also continue to fund our fleet plan strategy to grow our network, pursue a modern and efficient fleet and to prepare the airline for the next decade. With a sound fleet plan and a resilient balance sheet, we will be able to assess more traditional and historical shareholder return programs. While not included in our full guidance, with the information we have available, we are confident that we will be able to continue to generate solid free cash flow in 2024, albeit at lower levels than 2023 as we take delivery of new aircraft and fund pre-delivery payments on our preorder book. Through deleveraging, conservative management, exceptional assets and brands, Air Canada has established a bedrock financial foundation to pursue its strategy, and we’re very excited for the future.  Thank you. [Foreign Language] Mike, over to you.
Michael Rousseau: Thank you, John. As Canada’s slide carrier, we embrace Canadian values and project them to the world. Every day, we strive to earn our customers’ loyalty. We are proud to have safely carried more than the equivalent of the entire population in Canada during the year. We also received global recognition. We won Skytrax awards for the Best Airline Canada, Best Airline Staff in Canada, Best Low-Cost Airline for Air Canada Rouge and Most Family-Friendly Airline in the World. There were many other awards too, including for service, product, Aeroplan and employee relations. However, our financial quarter a year are finite discrete measuring periods. They serve as milestones for marketing progress, whereas our plans and our investments we’re making are geared to the future. A long-term perspective also allows us to see clearly pass more immediate temporary headwinds. Among these are economic uncertainty, the evolving regulatory environment, inflation and supply chain issues. We will manage these conditions, either because they will resolve themselves or it will simply become part of the environment in which all carriers operate. Some factors can at times to be more company-specific, such as our current negotiations with [indiscernible] Group. We are working with Alpha and have agreed upon a framework for continued constructive marketing through an independent and experienced mediator. This provides stability while we work together over the next few months with a goal to reach a collective agreement that is beneficial to all stakeholders. This gives our customers certainty and the ability to book with full confidence for the important summer travel period. Our long-term perspective includes a new fleet to support our network ambitions. This includes opening new markets that our current fleet mix cannot cost effectively serve and expanding service to existing markets. Supporting our network growth are our strategic partnerships. We have long-standing and successful arrangements, such as Star Alliance, our A++ joint venture and other JVs. Our transport alliance with United Airlines allows us to take advantage of Sixth Freedom opportunities and port more fully than any other foreign carrier in the world’s largest air transport market. With these, we have added new agreements, such as our partnership with Emirates, gives us better connectivity with markets in the Middle East and South Asia. Our long-range planning also anticipates a changing competitive landscape with an increasingly crowded domestic marketplace. In this arena, customer experience will be a key competitive advantage. We’ve always been a leader in product, and we will continue to make significant investments that our customers can enjoy, such as new and upgraded Maple Leaf Lounges and better in-flight amenities like new menus and faster Wi-Fi, cabin redesigns and customer digital tools. At the same time, we are investing more in customer service training, employee tools and processes, including for improved accessibility. In 2023, we made significant progress in these areas by delivering on 41 special projects to enhance the experience, like our popular mobile app baggage-tracking feature. We also released our first multiyear accessibility plan, reaffirming our commitment to enhance accessibility for employees and customers with disabilities. Loyalty affect both our product and our service investments is supercharged by Aeroplan. The ability to foster and retain loyalty simply cannot be overstated. It’s been 5 years since we acquired Aeroplan. It is now Canada’s leading travel loyalty program, not leading loyalty program bar none as evidenced by the accolades it receives every year. Aeroplan has grown to more than 8 million numbers, double since the acquisition. Gross billings and redemptions have each increased by about 70%, and Aeroplan’s financial contribution has outpaced that levels. We’re excited by the many additional opportunities available as the program continues to reach new records. Throughout 2023, we remain deeply committed to the communities we serve, as evidenced by our very active and relevant engagement programs. Air Canada Foundation grants charities as hospital transportation program, supported in part by point donations from Aeroplan members. Our scholarship programs are vital to the communities we serve. At the grassroots level, we sponsored and celebrated cultural and local events through more than 265 partnerships across the country in 2023. Often, this is overlooked. We are very proud and committed to give back. We also demonstrated good citizenship through our environmental programs. Reducing our carbon footprint is a high priority for our customers and for us. With respect to SAF, we continue to emphasize critical importance of partnerships with industry and government. For this reason, we are pleased with the recent announcement of a new combined federal investment of $6.2 million to support the future of SAF in Manitoba in partnership with the Canadian Infrastructure Bank and the province of Manitoba. But much, much more needs to be done. Taken together, all these items, our strong foundation, our results, our ability to execute a value-creating strategy and our continued participation in daily lives Canadians speaks to Air Canada’s long-standing and positive presence across our country and assures all stakeholders that they can rely on us to be there and deliver on our commitments far into the future. With that, we’re now pleased to take questions.
Valerie Durand: Thank you, Mike, and thank you all for joining us this morning. [Foreign Language] We’re now ready to take your questions. Should you require further details following this call, our Investor Relations team is available for support. Back to you, Julienne.
Operator: Thank you. [Operator Instructions] Our first question comes from Kevin Chiang from CIBC. Please go ahead. Your line is open.
Kevin Chiang: Hi, thanks for taking my questions. Good morning, everybody. Maybe this is for John. Just on the adjusted CASM, thank you for all the details there. But I guess if I think further out, it feels like some of the pressures in 2024 might have an outsized impact on adjusted CASM. So when you look further out, like what do you get to negative adjusted CASM growth? Is that a 2025 story when you lap some of these issues or is visibility there still a little bit challenged?
John Di Bert: Yes, it’s a fair question. I think calling ‘25 CASM maybe a bit early. But I do think, and I had it in the commentary, that structurally, we do believe that there is productivity probably to be felt over the next couple of years. And if you combine that with the fact that we do expect to continue to grow capacity, I think we would expect kind of a transitional period here, right? We had a lot of volatility over the last few years and brought the airline back to fairly complete capacity levels. And now we are facing some of these kind of transitionary adjustments. And I would call them lagging inflation. In fact, there is a couple of items that you mentioned. And so as we get into ‘25-‘26, I do think that we will have a better balanced picture, and that will give us an opportunity to really experience some other productivity gains.
Kevin Chiang: That makes a ton of sense. And maybe just a quotation question. Mike, you mentioned the strength of Aeroplan, increase in gross billings and redemption by 70%. I think you also said the Aeroplan contribution, though, is tracking above this. Just when you’re defining contribution, is that an earnings comment? Or is that another KPI that you’re referencing?
Michael Rousseau: Yes. Good morning. So this is compared to 2019 and its earnings.
Kevin Chiang: Earnings, okay. That’s great. Thank you very much. Best of luck in 2024.
Operator: Our next question comes from Cameron Doerksen from National Bank Financial. Please go ahead. Your line is open.
Cameron Doerksen: Yes. Thanks very much. Good morning. I guess I want to ask about the cost maybe in a little bit different way. I mean it does seem that most of these cost inflation that you’re seeing is really an industry-wide issue. And one would potentially even argue that the pilot wage inflation or just general wage inflation is also an industry trend. I’m just wondering if you could maybe comment a little bit about what you think cost inflation that you’re seeing in 2024 might actually be unique to Air Canada. Or is it really just across the board pretty much an industry cost inflation issue?
John Di Bert: Yes. Thanks for the question, Cameron. I think really – and it was very, I guess, purposeful in the commentary that, I think, generally speaking, we’re seeing good efficiency and productivity gains as we kind of restore some fluidity in the system here, but also take advantage of capacity as it continues to grow. So for the airline itself, I don’t see any unique items. I think the ones that we did mention are ones that as an industry will deal with. And to some degree, I think the – particularly on airports and so on and so forth, they will also enable growth. So there is a cost element to that. But for us, that’s also helpful to go that they continue to restore their own capital investment programs and such.
Cameron Doerksen: Okay. That’s helpful. And just on, I guess, the capacity you mentioned that you’re still seeing some constraints in 2024. I think maybe your capacity grows a little lower than what you maybe initially thought a year or so ago. When do you think you can get back to kind of pre-pandemic levels of capacity? Is that something you could see in 2025 or maybe it actually takes a little longer?
Mark Galardo: Hi, Cameron, it’s Mark. As we get to the end of Q4 and – of this year and as we go into 2025 with the fleet delivery skyline that we’ve got, we’re going to exceed 2019 capacity levels.
Cameron Doerksen: Okay, that’s great. Appreciate the time. Thanks very much.
Operator: Our next question comes from Konark Gupta from Scotiabank. Please go ahead. Your line is open.
Konark Gupta: Thanks, operator. Good morning, everyone. I just want to kind of go back to your EBITDA guidance for the full year. I understand there are a lot of CASM one-offs and idiosyncratic factors this year. But my math suggests you’re assuming slightly positive yield and RASM this year and margins probably flat to down. Does it make sense in light of the competitive environment? I mean, like where are you seeing a lot of strength in the RASMs and yield heading into ‘24?
Mark Galardo: Hi, Konark, it’s Mark. As we model specifically 2024, we’re not projecting to have yields that are above last year, neither is our unit revenue and how we get to the EBITDA formulation here. So the yield and RASM projections that we have built in the EBITDA guidance actually factor in the competitive dynamic that we’re in. So that’s all accounted for.
Konark Gupta: I see. Makes sense, thank you. And then if I can just touch base on CASM, John, maybe. I think you have got pilots, you’ve got maintenance. I think capacity is also not to the mark, right? Maybe that also kind of adds to some CASM because of the denominator effect. Is there anything unique in your assessment’s time versus last few months or so that has changed your kind of view on the CASM, meaning like is it inflation that’s getting bigger generally across your system or was there any other updates from regulatory environment side of things?
John Di Bert: Yes. So thanks for the question. I think you hit something in your kind of your preamble to the question, which is, as we look over the last 3 months, yes, there is been a bit more pressure on capacity. And I think some of that – you’re all aware of just in terms of – for example, GTF issues. And Mark mentioned that an aircraft or two that slips out of the schedule into ‘25. So it’s – I mean, I would say that, that is the context that we’re operating in, which is as we bring on capacity, there is some still challenges in being able to bring all of it that we’d like from a aircraft point of view. So that lightened our expectation a little bit on capacity, and that does have a little bit of an impact, I would say, just on cost absorption. But again, nothing meaningful relative to any other items or changes on how we view the environment. These were things that we had started to discuss in the middle of the year last year as being items that we were tracking and working to manage and mitigate.
Konark Gupta: Appreciate the time. Thank you.
Operator: Our next question comes from Walter Spracklin from RBC Capital Markets. Please go ahead. Your line is open.
Walter Spracklin: Yes. Thanks so much operator. Good morning, everyone. So on the CASM guide, you mentioned that it does include a labor deal assumption. Is there any way you can frame – I know it’s tough, but is that – would – is that over 8% per year? Is it less than 8 – any indication that you can give so that we can assess the level of conservatism that you’ve built into your labor deal assumption that drove your 2.5% to 4.5% CASM?
John Di Bert: Yes. Walter, no, I can’t provide any additional comments. But we’ve assessed this and I’ve – so in my comments here that we do expect that we are going to continue to be the best opportunity for Canadian pilots. And I think that’s the way we’re looking at our overall expectation for costs. And so you have this view. And of course, this will evolve over the year, and we will keep you posted if something does come up meaningful.
Walter Spracklin: Okay. No, I understood. I completely understand that kind of sensitivity, for sure. Perhaps moving to free cash flow, you did mention that you’re not – you don’t have a guide out there any longer. And I think you said that 2024 would be strong but less than 2023. Is that half of ‘23? Is that – I’d love any color there. But – and then if you look out over the time frame of the next few years, kind of the way you did it in the past few years on a cumulative basis, you do have a fairly significant CapEx program. Is there – should we expect a meaningfully lower free cash flow trend over the next year versus last 3 given the CapEx? Is that the right way to look at it?
John Di Bert: Okay. Those are two good questions, and maybe some of that is going to be a better discussion for kind of a more wholesome investor discussion as we look through the year and find the right plan to think and talk long-term with the investor group. But what I would say is that, just on your first comment and then maybe I’ll add some color to the second. In symptoms, the EBITDA has been a good proxy for cash from operations for us. So we do have – against that, you would think about interest costs. And so we tracked a pretty good conversion is, I guess, my point. And if you look at the disclosure, we do provide a pretty good number for projected CapEx. I think in this last quarter, it’s around $2.7 billion for the year. So you can do a little bit of your own math there, right, if you do a little bit of a haircut on EBITDA or like interest cash. And we don’t pay taxes really at this point in time. Our losses from prior periods are still being absorbed so that it absorbs our tax. And that gives you a pretty good place to land for a cash number. And that will move around a little bit with working capital and advanced ticket sales, those kind of things. But I don’t expect another $2.8 billion free cash flow year in 2024, that’s for sure. But I think it’s going to be solid cash generation. And then from that point on, I think that the airline has the capacity to continue to generate cash flows on a consistent basis. Like I said, we will talk ‘25-‘26 and further out-years perhaps in a more wholesome discussion. But I would say that we have the opportunity to do different things with the aircraft that are coming into the fleet over the next 3, 4 years. That will allow us to have the right balance of cash generated as well.
Walter Spracklin: Perfect. I appreciate the time, John.
John Di Bert: Thank you.
Operator: Our next question comes from Andrew Didora from Bank of America. Please go ahead. Your line is open.
Andrew Didora: Hi, good morning, everyone. Mark, in your prepared remarks, you seemed a bit more – obviously more constructive on international over domestic this year. Just curious in the 6% to 8% capacity outlook, how are you thinking about balancing that between domestic and international? Is domestic growth going to be below international given your thoughts there? Just curious how you are thinking about that?
Mark Galardo: Sure. Good morning. Good question. Certainly, international is going to outpace domestic growth. We are going to have a pretty flat domestic growth this year in 2024, and we are going to be focusing a lot more on international. And in particular, the Pacific this year, we are seeing pretty – still in the middle of a recovery in the Pacific, and we still think there are some good opportunities there. So, international will really be the focus in ‘24.
Andrew Didora: Got it. Thank you. And John, just your comments on capital allocation seemed very balanced. You mentioned kind of continuing to lower gross debt. How much is sort of expensive debt that continues to be – that is pre-payable here? And how – can you help provide a number on kind of what maybe a gross debt target might look like? Thank you.
John Di Bert: Yes. It’s a fair question. I am not sure that there is an absolute target. I think that just generally speaking, the capital markets have improved there quite a bit and spreads have tightened up. So, that does make the pay-down of debt potentially – or we have an ability to re-price our term loans and things like this. So, I think those are areas that there are opportunities for us is really just making our debt cost more efficient. And we have managed very well through a period where liquidity was very important to us, and we are coming into a period now where we feel more confident about our ability to generate cash flows on a more consistent basis. And with that, I think no specific target, but we will take advantage of opportunities. And I think that in ‘24, that still remains, I would say, high, up on the list of deployment opportunities. And we will go from there. But we have a kind of a balanced nice spot now where we also have a ramp-up to some CapEx, and so there will be somewhere to deploy that cash effectively. And then as we said in our comments, there will always be opportunity here for us to look forward here at shareholder participation.
Andrew Didora: Great. Thank you.
Operator: Our next question comes from Fadi Chamoun from BMO. Please go ahead. Your line is open.
Fadi Chamoun: Yes. Good morning. Thank you. Maybe one quick clarification, does the Q4 CASM – labor CASM incorporate any accrual for a pilot of a kind of deal assumption? But my main question is, maybe just picking up on your last comment, John, given where the balance sheet is and your overall financial kind of profile, I appreciate you have some heavy capital investment in the next 2 years, 3 years. But when does some form of distribution to shareholder enter the framework?
John Di Bert: So, I will take the first one first and then the second one, I will just give you just some color on that. But the Q4 numbers as reported do have the same thinking with respect to the upcoming contract built into it. So, in other words, we have assumed that from the expiry date, there is an accrual for a new wage agreement. And so for all intents and purposes, we expect that to be covered and closed, and then we projected in the same fashion for 2024, so just a consistent approach there. I think that answers your question correct, Fadi?
Fadi Chamoun: Yes. That’s correct.
John Di Bert: And so to the second point, in our comments, we did kind of give you our view on the priorities and how we are managing through that. So, clearly, I think that we have navigated through a couple of years here where it’s really about kind of stabilizing the operation and making sure that where we see more clearly, and I think we start to see it, and we have good confidence in 2024. We are looking a little bit further out that we made an announcement on an aircraft or an optimum goal that will come in, in ‘25, ‘26, ‘27 deliveries. So, I think this is progressing per plan. And of course, we have shareholders’ best interest always top of mind, and we will do that in due course. And I think that that’s a fair part of the capital allocation on the longer term.
Fadi Chamoun: Okay. Thank you.
Operator: Chris Murray from ATB Capital Markets. Please go ahead. Your line is open.
Chris Murray: Yes. Thanks folks. Good morning. Maybe turning back to the EBITDA guidance, it feels like it’s a little bit wide this year and has a bit of a big – a large band starting out to the year. Just wondering what – when you are thinking about – when you are setting those guideposts, are there certain – what are the most important risk factors that you are thinking that are driving you to either top or the bottom of those ranges?
John Di Bert: Yes. That’s a fair comment. I think that when you look at CASM 2.5% to 4.5%, I mean I have described the items that were providing some of that pressure. So – and even in my comments, I have kind of indicated that they will move around a little bit through the year. So, we just don’t want to have a situation where for some small estimatable adjustments we kind of have to correct that every quarter. So, you have a little bit of a range for some of this variability in those cost pressures. With respect to, I think the yield environment, and Mark has described kind of our view on just how there is a competitive environment. We want to stay in front of the market. And I think for that reason, we have also some variability on overall. I mean if there is a very strong year year-over-year gain. And if you see those yields hold up, Mark indicated that we are not assuming a growth. But if that did come, then that would push us to the higher end of the range.
Chris Murray: Okay. That’s fair. But nothing – you are not expecting anything kind of one-time or kind of binary then? It’s just sort of a combination of the different inputs?
John Di Bert: Yes, it is. It is. And don’t forget, I mean we guided here a capacity range 6% to 8%. We have kind of been battling with different adversity, and I think we feel good about that range. So, I would say that we wanted to make sure that we had a clear line of sight. And so I mean if capacity lightened up and got much better in terms of the adversity that we are facing, then maybe that would be an opportunity as well. But nothing specific in terms of one-time items or anything that we are kind of grappling with other than the things that we have described in our commentary.
Chris Murray: Alright. And then not to jump on this bandwagon too much, but just thinking about returns to shareholders because this is a question that we do get a fair amount. Are there any stones or events that we should think about that may help change your thinking, whether that’s getting a pilot agreement completed or changing your debt rating or anything else like that, that would maybe give us an indication that could become a more realistic approach at that point?
John Di Bert: No. I think I mean – and I appreciate all the interest. It’s very valid. I think we are progressing per plan. And I think we feel very confident that we are doing the right things at the right times in the right sequence here. And none of this lost on us in terms of how we would like to get back to things that we have done in the past, but we want to do that in a very responsible way. And I think that the airline has potential here to be a strong performer right through the decade. So, that will take a step at a time. And I think everybody will be rewarded for that. Every stakeholder will find benefit if we do that right.
Chris Murray: Alright. Thanks for taking my questions [ph].
Operator: Our next question comes from Jamie Baker from JPMorgan. Please go ahead. Your line is open.
Jamie Baker: Hey. Good morning everybody. A couple of questions for John, so considering the cash balance, do you have the option to reset some of the bank term loan debt at a lower rate like we saw with United last – or earlier this week? It sounds like when you answered Connor’s question, the answer is yes?
John Di Bert: I didn’t fully get the question. Can you just repeat it?
Jamie Baker: Sure. Do you have the option to reset some of the bank term loan debt at a lower rate? We saw United did in the market with its deal earlier this week.
John Di Bert: Yes, so great. Yes. So and then really, I mean that’s some of what I meant with my commentary on the ability to continue to look for the best cost of capital efficiency. So, re-pricing, perhaps even managing maturities and those kind of things, are all part of a good, sound, comprehensive debt strategy. And we look at those things regularly. Market has tightened up a lot here in the last not too long – short while. And so those are all opportunities that we will keep on the front burner. And again, as part of that kind of how do we use and deploy capital and that’s, we believe, a good way to do it. And I think I said some of the comments as well that we are continuing to look at our most expensive debt.
Jamie Baker: And then just a quick follow-up on credit ratings, you have Delta right now with, what, almost twice the net leverage sitting at BAA3 with a positive outlook. Air Canada, to not just lower, I mean are you and the team pushing for upgrades? I mean is investment grade a discussion we should be having, or is that not one of your top priorities at the moment? Thanks for the time.
John Di Bert: Thank you so much. I don’t want to make any announcements about investment-grade targets. It’s not – I think what we are going to do is we want to have a balance. We do have access to pretty efficient debt when it comes to aircraft financing that almost trades like investment-grade costs. So, I think it’s a fair question that we do – we are in contact with rating agencies. We have come through, like all airlines, a challenging period. And I think they would like to see some printed results over a longer period of time. And I think we are giving them good opportunity here to upgrade us during the year. We did have a couple of upgrades. I think that there is a potential here to be kind of that will be across the board. And we will see when that happens. And from that point on, I think it’s just good performance will take us a long way.
Jamie Baker: That’s great. Thanks John.
Operator: Our next question comes from Savi Syth from Raymond James. Please go ahead. Your line is open.
Savi Syth: Hey. Good morning everyone. If I can, on the capacity commentary, you mentioned kind of long haul really driving it. I was wondering if you could give a little bit more color on what you are looking at, particularly in the kind of the transatlantic and transborder markets, how you are thinking about the growth this year.
Mark Galardo: Sure. So Savi, it’s Mark. Our growth on the transpacific is really going to be the main driver for international growth. So, we will be looking at international growth that exceeds about 10% versus where we were last year. But most of that is driven on transatlantic. On transborder, we are looking at a decent level of growth above 5%. And a lot of that is driven off of sort of intensifying our relationship with United across the hub routes, but as well, adding more Sixth Freedom connectivity to support our international route network. And yes, we are seeing very strong results last year. But also as we are looking to ‘24, we are even more encouraged with what we see. So, that’s really primarily what’s driving the capacity allocation for ‘24.
Savi Syth: That’s helpful. Thanks Mark. And then if I might ask, John, just with the CapEx plan, and let me know if this is more for an Investor Day, 2026, you do get that step-up. Given the recent kind of news on OEM deliveries,and I think that’s impacting both Boeing and Airbus, just any kind of early thoughts on how realistic that plan is, or if it’s more likely to kind of step down here?
John Di Bert: Yes. Hard to – I guess hard to try to outguess our committed schedule and what our contracts and what our agreements are. But I mean it’s been a reality, right, where we have experienced it ourselves. We should have had more aircraft here, 321s and so on than we do right now. We watch this very carefully. And we have made in the past some decisions about acquiring interim lift and doing other things to be able to support some of that capacity that hasn’t come in. I think just stay tuned. It’s not that I don’t have an answer for you. It’s just that I would be guessing to something that we are going to play this closely, and they will work with Mark and the network team to make sure they have the appropriate aircrafts where they need them. And when we see these challenges there, then we will make decisions accordingly for the network. But tough to call ‘26, I am still very hopeful that this will stay as it’s committed. And I know that despite all the challenges that both OEMs do stay very close to us and work hard to achieve those schedules.
Savi Syth: Understood. Thank you.
Operator: Our next question comes from Stephen Trent from Citi. Please go ahead. Your line is open.
Stephen Trent: Good morning everyone and thanks for taking my question. Maybe the first one is for Mark or Michael perhaps. We heard one of the lessors mentioning kind of a rebound in sort of air cargo demand. And maybe some of that’s coming from greater difficulty and maritime channels, ships getting attacked in the Middle East or what have you. Are you guys seeing any sort of indications on your air cargo side as sort of you look at what the revenue trends are doing?
Mark Galardo: Hi Steve. So, on that specific question, the impact of the Red Sea hasn’t really had much of an impact on us because it’s more of an Asia-Europe dynamic. However, we had a bit of a slower start in January. But as we look into February and beyond, we are starting to see volumes pick up and we are starting to see some yields also pick up. And our ‘24 assumption on cargo is more volume-driven than yield-driven. So, we are starting to see some positive indicators. How it relates to what’s going on in the Red Sea is really hard to link right now.
Stephen Trent: Okay. Very helpful. And I believe I heard John Di Bert or one of you folks mention higher infrastructure costs this year. And I know you have mentioned in the past sort of the Canadian airport system, there have been some challenges there. But any color to what extent those regulatory costs, infrastructure costs are feeding through to the 2024 CASM guide?
John Di Bert: Yes. Sure. So, if you look at the year-over-year 2.5% to 4.5% CASM increase, it’s one of the elements, right. So, we talked about kind of 3% that stand out. And really, it’s just an assumption for a pilot contract. It’s those airport fees and infrastructure costs. And it is also our best view of the cost of APPR. So, and you probably can go and run some math and make your own kind of conclusions. But the – I would say that it’s one of those that’s kind of it’s a mixed blessing in the sense that I think that we would like to see airport infrastructure improve. We do believe that there is opportunity for better airport development and for our business and I think just the Canadian passenger in general. And so to some degree, those costs are kind of the other side of that coin. And there will be probably very long-term multiyear programs and projects that we will feel through those airport improvement programs. And so we are managing the business so we can integrate those costs. And that’s kind of how we see it is that there is opportunity for growth. And at the same time, we will manage the business so we can absorb those costs.
Stephen Trent: Okay. Appreciate it John and thank you everybody.
Operator: Our next question comes from Matthew Lee from Canaccord. Please go ahead. Your line is open.
Matthew Lee: Hi. Good morning guys. Thanks for taking my question. Maybe a follow-up to Konark’s earlier question. If yields remain somewhat flat in 2024 and CASM is expected to grow, our math would suggest that load factors will have to continue to be kind of at 2023 levels. Maybe just talk about the levers you are going to keep that KPI high and the sustainability of mid-80 load factors long-term?
Mark Galardo: Sure, Matthew. Great question. So firstly, demand environment continues to be pretty strong. And as we are seeing our forward numbers in Q1 and Q2, we are going to be able to maintain the load factor. And we have got many levers to play with, so we can reallocate capacity to where we see strength, so Asia would be one. We still see very strong demand on the transatlantic, in particular for leisure destinations in Southern Europe. And we have got the Sixth Freedom lever to play with that has significant untapped potential for us. So, all this combined puts us in a high load factor dynamic for ‘24.
Matthew Lee: Okay. Right. And then maybe on the fuel side, can you perhaps talk about your hedging strategy going into 2024? How far in advance are you comfortable hedging fuel costs?
John Di Bert: So, our base premise is that volatility in fuel is kind of recovered and reflected through fares. And so that’s kind of the base premises. Right now, we don’t have any active hedges in place. So, we are buying fuel at current costs. In terms of the way we think about it, I guess if we had reason to believe that there was a significant volatility and it’s hard to start to go out too far on the curve. Sometimes we will protect bookings where we have very full book in very high-capacity season. But other than really protecting the book, we don’t really go out too long on the curve.
Matthew Lee: Alright. Thanks for taking my questions.
Operator: Our last question will come from David Ocampo from Cormark Securities. Please go ahead. Your line is open.
David Ocampo: Thanks. Good morning everyone. Just a quick one for me, John, obviously there is a lot of capital being spent over the next few years, and that’s been discussed pretty heavily on the call. And that tends to happen when you guys go through these larger fleeting initiatives. I am just trying to back into kind of a more normalized CapEx number. I think you guys provided one in the past. Just curious what that would look like on maintenance level just given all the inflationary pressures that we have seen?
John Di Bert: I think that’s probably what we have over the next few years kind of laid out in our disclosure. And we do have a peaking number, I think in 2026. I think that we will look at what the airline should look like by the time we get to the end of the decade and make sure that we are in the right spot for 2030 and beyond. I think in – from a normalized CapEx, if I recall, we run at around 12% or so of revenue, and that’s historically where we run. We have an international higher weight to this airline, so sometimes that does also play in the overall CapEx mix. So, I mean maybe a conversation for Investor Day to provide longer term looks. But what we have in our disclosure gives you a pretty good idea of what you can expect over the next 36 months. Longer term, I think we will think about what the fleet needs to look like for 2030 and then make some decisions around that. 12% of revenue all-in probably looks like a good place to start.
David Ocampo: Okay. That’s perfect. Thanks.
Operator: We have no further questions. I would like to turn the call back over to Valerie Durand for closing remarks.
Valerie Durand: Thank you. Thank you very much for joining us on this call this morning. Once again, should you have any further questions, please reach out to us at Investor Relations. [Foreign Language]
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.